Operator:
Philip Hawk: 
Ted Owen: 
Philip Hawk: 
Pete Wallace: 
 : 
 : 
Philip Hawk: 
Operator: 
Matt Duncan - Stephens Inc.:
Philip Hawk:
Matt Duncan - Stephens Inc.:
Philip Hawk:
Matt Duncan - Stephens Inc.:
Philip Hawk:
Matt Duncan - Stephens Inc.:
Philip Hawk:
Matt Duncan - Stephens Inc.:
Philip Hawk:
Matt Duncan - Stephens Inc.:
Ted Owen:
Matt Duncan - Stephens Inc.:
Operator:
Arnold Ursaner - CJS Securities Inc.:
Philip Hawk:
Ted Owen:
Arnold Ursaner - CJS Securities Inc.:
Philip Hawk:
Pete Wallace:
Philip Hawk:
Arnold Ursaner - CJS Securities Inc.:
Operator:
Tahira Afzal – KeyBanc Capital Markets Inc.:
Philip Hawk:
Operator:
Richard Wesolowski - Sidoti & Company:
Philip Hawk:
Pete Wallace:
Richard Wesolowski - Sidoti & Company:
Ted Owen:
Philip Hawk:
Richard Wesolowski - Sidoti & Company:
Philip Hawk:
Richard Wesolowski - Sidoti & Company:
Operator:
Adam Thalhimer - BB&T Capital Markets:
Philip Hawk:
Ted Owen:
Adam Thalhimer - BB&T Capital Markets:
Ted Owen:
Adam Thalhimer - BB&T Capital Markets:
Philip Hawk:
Adam Thalhimer - BB&T Capital Markets:
Philip Hawk:
Adam Thalhimer - BB&T Capital Markets:
Philip Hawk:
Pete Wallace:
Philip Hawk:
Adam Thalhimer - BB&T Capital Markets:
Philip Hawk:
Adam Thalhimer - BB&T Capital Markets:
Philip Hawk:
Operator:
Tristan Richardson - D.A. Davidson:
Philip Hawk:
Tristan Richardson - D.A. Davidson:
Philip Hawk:
Tristan Richardson - D.A. Davidson:
Philip Hawk:
Tristan Richardson - D.A. Davidson:
Philip Hawk:
Tristan Richardson - D.A. Davidson:
Operator:
Martin Malloy – Johnson Rice & Company:
Philip Hawk:
Martin Malloy – Johnson Rice & Company:
Philip Hawk:
Operator:
Richard Wesolowski - Sidoti & Company:
Philip Hawk:
Richard Wesolowski - Sidoti & Company:
Philip Hawk:
Operator:
John Krulock - Bluefin Investment Management:
Ted Owen:
John Krulock - Bluefin Investment Management:
Ted Owen:
Philip Hawk:
John Krulock - Bluefin Investment Management:
Operator:
Arnold Ursaner - CJS Securities Inc.:
Philip Hawk:
Arnold Ursaner - CJS Securities Inc.:
Operator:
Philip Hawk: